Mark Tucker: Good morning or good afternoon, wherever you are in the world.
Noel Quinn: Good morning.
Mark Tucker: I'm really delighted that we're in Hong Kong today for our interim results announcement for the first time since the COVID-19 virus struck the world. I'm here today with Noel and Ewen. They will take you through the presentation shortly, and Noel will then lead the Q&A. As well as today's results, we're also giving plenty of time to meeting with our customers and investors face to face. And I'm very much looking forward to meeting with our Hong Kong shareholders tomorrow. We have always greatly valued their feedback and engagement, and we look forward to seeing them in person. There have been reports in recent months about ideas for alternative structures for HSBC. The Board has been fully engaged in examining these ideas in depth, and we will continue that thorough examination. Noel will discuss this in more detail during the presentation. The Board firmly believes that as these results clearly demonstrate, HSBC's strategy is working and expect that it will deliver very good returns over the coming years. For 157 years, we have followed trade and investment flows to support our customers as they fulfill their financial ambitions. We have used our deep experience and strong global relationships to help our customers to navigate the world. Today, we remain steadfastly focused on our core purpose of opening up a world of opportunity. Our model is increasingly relevant to individuals and to companies of all sizes and whose financial ambition span multiple countries and regions. Our transformation has enabled us to emerge from the pandemic a stronger bank and well positioned to capitalize on the current interest rate cycle. And very few banks can rival our ability to connect capital, ideas and people through a global network that facilitates the international collaboration required to succeed in today's world. The focus for the Board and the management team is on delivering our strategy precisely because it is the best way for us to support our customers and to improve returns.  With that, let me hand over to Noel.
Noel Quinn: Thank you, Mark, and good afternoon to everyone in Hong Kong. It's great to be here to present our half year results. And good morning to everyone in London. Before I turn to progress against our strategy, a brief reminder of the context. As Mark said, our purpose as an organization is opening up a world of opportunity. These worlds are a product of extensive consultation with our customers, our colleagues, about who we are and what we do. And I strongly believe that our strength as a global institution comes from our ability to connect to major trading blocks of the world. I will come back to the value of our connectivity and strategy later on. The next slide sets out the key points that we're going to cover in our presentation today. First, we've had another strong performance in the second quarter. I'm pleased that reported revenue grew by 2% on last year's second quarter and was up 12% on an adjusted basis. Adjusted profits before tax were up 13% on the same period last year, and continued strong cost control led to positive adjusted jaws up 12%. Second, we've made good progress with our transformation program. If you look back a few years ago, we had loss-making businesses in the U.S. and Europe, and capital was being used inefficiently. We have structurally repositioned our portfolio, our businesses and our operating model for higher returns. The two most material adjustments in our portfolio have been the exit and wind down of nonstrategic assets and clients in the U.S. and Europe, and the strong impetus behind organic and inorganic growth in Asia, especially in Wealth and Personal Banking. This reposition effect is starting to pay off in terms of growth and returns, as these results show. Third, it's the benefit of transformation and the tailwinds from higher interest rates that allow me to announce some ambitious new targets and underpinning guidance even against the challenging economic backdrop. After delivering an annualized return on tangible equity of 9.9% in the first half, we are confident of delivering at least 12% from 2023 onwards. This would represent our best financial performance for a decade. Finally, as a result, we are providing more specific guidance of a 50% dividend payout ratio for 2023 and 2024. We understand and appreciate the importance of dividends to all our shareholders, so we will aim to restore the dividend to pre-COVID levels as soon as possible. We also intend to revert to quarterly dividends in 2023.  Let me now walk you through the progress we've made in the first half of this year in transforming the bank. In Asia Wealth, our investments over the past few years are gaining traction. We've made a series of bolt-on acquisitions to accelerate our progress. In the first half, we completed the acquisition of Axa Singapore, and we remain on track to complete the acquisition of L&T Investment Management in India. And in Mainland China, we continue to build momentum on the back of 17 new licenses and regulatory approvals gained since the start of 2020, seven of which were in the first six months of this year. We've got strong revenue momentum across all of our businesses with 4% of the adjusted revenue growth in the first half after turning the corner on revenue back in 2021. Normalizing interest rates give us confidence in the returns trajectory for the coming years, as we will explain later. We have also got good cost control with adjusted costs stable in the first half despite inflation and higher spending on technology. We had an annualized return on tangible equity in the first half of 9.9%. We have now made cumulative RWA saves of $114 billion and remain on track to exceed $120 billion as we continue to exit assets and clients that do not add value to our international proposition. Our CET1 ratio was 13.6%, and we aim to manage back to within our target range, 14% to 14.5% during the first half of 2023. Our capital allocation to growth opportunities in Asia and Wealth and Personal Banking also showed good progress. We have a strong focus across our network today. When you combine exiting unprofitable businesses and underproductive RWAs with tighter costs and an impetus for growth, you get much better geographic performance with every region profitable in the first half. One of the standout performers was the HSBC UK, which contributed $2.5 billion of adjusted profits, up 15% on the first half of last year. Many of you heard about the fantastic job that Ian Stuart and the UK team are doing at the recent Investor Day. If not, please do look at the materials on the website. Looking forward, our transformation also means we can expect the current rate cycle to bring higher returns than previous rate cycles because we have more liquidity, less risk and much higher operating leverage. The level of surplus deposits we hold means we're very well positioned to benefit as higher rates kick in. We also now have less risk in our two key books, the retail unsecured loan book and the SME lending book. We have around $91 billion of business banking deposits in Hong Kong and around $55 billion of business banking deposits in the UK at very low AD ratios. And we have outperformed our peers on cost management in recent years. The next few slides cover our four strategic pillars, starting with a focus on our strengths. Our market-leading commercial banking franchise had a very strong first half. Revenue was up 14% on last year. Within that, it was particularly promising that there was fee income growth of more than 12%. Trade revenue in Commercial Banking increased by nearly $200 million or 20%, driven by a 25% increase in average trade balances as clients trusted us to help them navigate supply chain shifts. GLCM was up 42%, with a strong benefit from interest rates normalizing. And by geography, every region performed strongly. Revenues were up 19% in the UK, up 5% in Hong Kong, up 18% in the rest of Asia and up 12% in the rest of the world. In Wealth and Personal Banking, the impact of the transformation I described is particularly evident. Net new invested assets in Wealth grew by 9% in the first half. In Asia, we achieved significantly more positive dollar growth than was reported recently by our European wealth management peers. And it was great to see the value of new business in our Asia insurance franchise grew by 41%, all despite adverse market conditions. Revenue in Wealth and Personal Banking were stable. But excluding market impacts and a gain on pricing, updates on policyholders' funds, it was up by 7%. Personal Banking had a very strong half. Lending balances were up 4%, driven by a strong UK mortgages performance. And looking at revenue by geography, excluding market impacts and the insurance gain, the UK was up 22%, Mexico was up 16%, while Hong Kong remained resilient, down only 1% despite the impact of COVID restrictions. All of this underlines the way we structurally reposition the business. We should now get the benefit of normalizing rates on top of that. Global Banking & Markets also performed very well in the first half, reflecting our differentiated and diversified business model. Strong revenue performances in Transaction Banking and our Markets business were driven by rate rises and continued good levels of client activity. Collaboration between Global Banking and Markets and Commercial Banking is a priority. So I was particularly pleased to see these collaboration revenues increase by 14%. Back in February, I talked about the proportion of Global Banking and Markets client business booked in the East, but originated in Europe and the Americas. In the first half, this revenue grew by around 8% on the same period last year, underlying the strength of our connected franchise. We will continue to invest in coverage and build share in connecting capital and trade flows between the world's major economic blocks. Digitizing HSBC continues to improve the client experience and make our processes more efficient. We've continued to raise our spending on technology with more than half spent on changed the bank initiatives to drive growth and efficiencies. This is in spite of the commitment to keep our overall costs stable in 2022. We've more than doubled the proportion of our agile workforce over the past year, which we expect to translate into a much faster release frequency for new features and propositions. Our cloud adoption across public and private cloud continue to increase beyond 30% with an ambition to go much further. And across trade, HSBC net and retail mobile penetration levels and volumes increased materially with ambitions to grow them even further. The next slide covers our last two strategic pillars. First, we're continuing to build a dynamic and inclusive culture. We remain on track to achieve our revised target of 35% of senior leadership roles filled by women by 2025. The total number of hours spent by colleagues learning about sustainability, digital and data increased sevenfold, reflecting the increased priority placed on future skills. And to give you an example of how we're opening up a world of opportunity for our people, we're rolling out a talent marketplace, which uses AI to match colleagues with short-term projects and learning based on their skills and ambitions. Then on transition to net zero. The amount of sustainable financing and investment that we provided and facilitated were stable in the first half of last year, despite the overall market for green, social and sustainability and sustainability-linked bonds being down in the first half. The overall amount of sustainable finance and investment provided and facilitated since the start of 2020 now stands at more than $170 billion, well on our way towards our target of up to $1 trillion by 2030. The next slide shows why we're confident of keeping adjusting costs stable in 2022. And our ambition is to keep cost growth to around 2% in 2023, despite strong inflation headwinds. It comes down to three things. First, good cost discipline across the whole group. Second, our efficiencies. We're reducing the global real estate footprint, reducing our global retail infrastructure using more automation and reducing our operations headcount. We’re still only partway through these journeys with an ambition to achieve even greater savings. Finally, we will continue to see the impact of our current transformation programs into next year. The flow-through benefits into 2023 are also a component and will be an important help to offset inflation.  This brings me into expectations for the rest of 2022 and 2023. I've explained how we've structurally repositioned the business to achieve higher returns once rates normalize. Despite the uncertainty in the macroeconomic environment, we're expecting at least $37 billion of net interest income in 2023, which is a significant uplift on the $31 billion plus we expected in 2022. We're aiming to keep cost growth at around 2% in 2023, which we fortunately expect to be able to do for the reasons I've explained. Given all of this, we are materially upgrading our returns guidance. We are confident of achieving a return on tangible equity of at least 12% from 2023 onwards. As a result, we are also providing more specific guidance of a 50% dividend payout ratio for 2023 and 2024. We aim to restore the dividend to pre-COVID levels as soon as possible, and we will also revert to quarterly dividends from 2023 onwards.  I'll speak to a few more slides at the end. But let me now hand over to Ewen to take you through the numbers in detail.
Ewen Stevenson: Thanks, Noel, and good morning or afternoon all. As Noel and Mark have said, it's really great to be in Hong Kong for these results. We had another strong quarter, reported pretax profits of $5 billion. While down 1% on last year's second quarter, this marks a strong core operating performance. Compared to the second quarter of last year, adjusted revenues were up 12%, including net interest income up 20% with operating expenses flat. We had 12% positive jaws. Adjusted pretax profits were up 13%, and profits attributable to ordinary shareholders were up 62%. Credit conditions remained benign in the quarter. ECLs were $448 million net charge compared with the net release last year. We benefited from a $1.8 billion deferred tax asset credit in the quarter, reflecting a recognition of brought forward tax losses in the UK given the improved profitability outlook. We now expect a 2022 effective tax rate of around 10%, reverting to a more normalized effective tax rate of around 20% in 2023.  To remind you, for 2022 dividend modeling purposes, please exclude the DTA gain and the French loss on disposal being noncash significant items, but include the $3.4 billion of cost to achieve we expect to spend this year and other significant items. Our core Tier 1 ratio was 13.6%. Tangible net asset value per share was $7.48, down $0.32 on the first quarter, mainly due to FX impacts, but also to the fourth quarter 2021 dividend payment. And we've announced an interim dividend of $0.09 per share, up $0.02 on the first half of 2021. On the next slide, there was a strong adjusted revenue performance across all our global businesses. Wealth and Personal Banking revenues were up 5% overall and up 19% if you exclude $700 million of adverse market impacts in insurance. Underlying this, Personal Banking had a strong quarter, revenues up 20%, reflecting both rate rises and balance sheet growth. Commercial Banking was up 19% with growth across all core products due to improved margins and balance sheet growth and revenues driven by collaboration with Global Banking and Markets. Global Banking and Markets revenues were up 15%, mainly due to global markets and security services and global liquidity and cash management. Net fee income was down 4%. The decline in fees from Wealth and Investment Banking was partly offset by the $100 million increase in global liquidity and cash management and trade fees, underlying the benefit of our diversified business model. On Slide 17, net interest income was $7.5 billion, up 20% against last year's second quarter on an adjusted basis. On rates, the net interest margin was 135 basis points, up 9 basis points on the fourth quarter and up 16 basis points compared with the fourth quarter last year as higher asset yields more than offset increased liability costs. And on volumes, we had underlying loan growth in the quarter of 5% annualized, but we saw a decline in average interest earning assets due to FX. Based upon current FX on the consensus rates outlook, we now expect net interest income of at least $31 billion for 2022 and at least $37 billion in 2023, as we return to a more normalized rate environment. On the next slide, we provide some buildup to our net interest income forecast on the rates assumptions. As I said, our forecast today are based on current FX rates and the current consensus rates outlook. As you know, we've lead pass-through rates at the moment, but we expect these to increase going into 2023. On volumes, we're forecasting net single-digit loan growth in 2023.  Turning to Slide 19. We reported a net charge of $448 million of ECLs in the quarter or 17 basis points. This included a further $140 million relating to our Mainland China commercial real estate portfolio. Outside of this one specific portfolio, the overall quality of our book remains good. Stage 3 loans as a percentage of total loans remained stable at around 1.8%. And at this stage, we're not seeing signs of portfolio stress across our key early warning indicators and defaults in July remained low, but we continue to monitor the situation closely. While the first half, ECL charge was only 21 basis points, we continue to expect these sales to normalize towards 30 basis points of average loans for the full year with the core driver of this risk of further deterioration in forward economic guidance rather than any sharp upturn in Stage 3 losses. Turning to the next slide. Second quarter operating expenses were stable versus the same period last year as cost savings and reduction in accrued variable pay offset the continued increased investment in technology and growth. We made a further $500 million of cost program savings during the second quarter with an associated cost to achieve of $600 million. As Noel said, we remain on track for stable adjusted operating expenses this year. Assuming FX remains at June levels for the remainder of 2022, that would be around $30.5 billion of operating expenses. We're also on track to achieve the top end of our three-year $5 billion to $5.5 billion cost savings target and now expect to see a further $1 billion of cost savings from this program flow through to 2023, which will be a material mitigant against the higher inflation that we're seeing. As part of this cost program, we've now spent $4.6 billion of our $7 billion cost to achieve budget that ends in the fourth quarter. We still expect to spend the remaining $2.4 billion during the second half of this year. For 2023, despite the inflationary trends we see, we're still aiming the cost growth of around 2%. The environment is highly volatile but we do not intend to allow the yield curve to weaken our commitment to cost discipline. Turning to capital on Slide 21. Our core Tier 1 ratio was 13.6%, down 50 basis points on the first quarter. This included underlying risk-weighted asset movements from lending growth and data and methodology enhancements. Post-tax fair value losses through other comprehensive income as interest rates rose and increased threshold deductions as core Tier 1 capital fell. We expect our core Tier 1 ratio to fall further during the third quarter. This includes the NIM sale of our French retail banking operations, which based on current FX rates, is expected to have an impact of around 30 basis points. We expect core Tier 1 to recover materially in the fourth quarter back towards 14%, given additional capital management actions we're now taking and then be back within our 14% to 14.5% target range during the first half of 2023. So in summary, this was a strong quarter. We're firmly on track to achieve significantly improved operating performance, returns and distributions from 2023 onwards with interest rates rapidly normalizing and a postpaid recovery in most markets. We're seeing strong revenue growth, up 12% on a year ago with continued cost discipline, where we've achieved a 12% operating jaws this quarter. While not complacent, the experience of our credit portfolio remained benign. Based upon the normalization of interest rates, with at least $37 billion of net interest income in 2023 and the continued core operating performance improvement we're driving, we're raising our expectations for 2023 and beyond, our return on tangible equity of at least 12%. And on the back of this, we expect to see a material uplift in distributions from 2023 onwards.  With that, back to Noel for a few closing comments.
Noel Quinn: Thank you, Ewen. I'd like to end with a few slides before Q&A. When we began to accelerate our strategy in February 2021, one of our four strategic pillars was to focus on our strengths. As you have seen from the material today and throughout our history, we have no greater strength than our ability to bridge capital and trade flows between major economic blocks of the world. We're the world's leading trade bank, one of the largest payments providers globally and one of the largest FX houses in the world. And even as trade flows have changed and supply chains have shifted, we've taken market share in trade because our network means we can go wherever trade goes. We also command a 20% wallet share of wholesale banking client business from Europe, the Middle East and the Americas into Asia. Outside of revenue, our international model has also started delivering synergies in our cost base, particularly through digitization, where we can build the months to apply globally at much lower costs. And there are also capital and funding synergies through the greater diversification of our portfolio and the inter-connectivity within it. In the past, investors could not fully assess all that value because parts of our portfolio dragged down the overall returns below the cost of capital. So the work we have done over the past few years to tightly control costs, reduce capital allocated to low-return, domestic-orientated businesses, and increase investment in higher growth, higher return geographies in Asia and in businesses such as wealth will allow us to demonstrate the value of our international strategy much more clearly, as is evidenced in our forward guidance of at least 12% returns in 2023 and beyond.  International connectivity is core to our entire value proposition, from clients to employees, and has contributed to our improved returns. 45% of our Wholesale client business is booked cross-border. And a large proportion of the revenue is booked domestically for wholesale clients comes to us because of the business we do for those clients overseas, and we will continue to grow that number. Similarly, in Wealth and Personal Banking, International is the most attractive and fastest-growing segment. Our product like Global Money and our wealth platforms, which some of -- which are some of our highest return propositions, are specifically designed to capitalize on our international connectivity for our retail and wealth customers. You will continue to see more propositions from us in this space, and that's because the average international customer revenue is around double the average domestic only customer. In addition, in a highly competitive talent marketplace, especially in Asia, our internationalism is core to our employee value proposition and how our colleagues think about us. There has been a debate recently about our international model and specifically, whether alternative structural options would create more value for our shareholders. As you would expect, we have considered many of these options over recent years. More recently, we have updated our analysis with the benefit of independent third-party financial and legal advice. It has been our judgment that alternative structural options will not deliver increased value for shareholders. Rather, they would have a material negative impact on value. And our current strategy is the fastest and safest way to get to higher returns and dividends we all want to see. When considering different structural options for the bank, we need to be judgments on a range of factors, which we think would materially impact valuation outcomes. Clearly, the primary factor is about disruption to and the potential loss of the international synergies I just highlighted. But it's not only about synergies. There are significant costs and execution risks that would need to be considered for any alternative structural option. Past experience in the market, as evidenced, to coordinate a relatively small European bank in a single market can take more than $2 billion and even then has a high-risk failure. So you can understand the risks of standing up separate entities for a franchise of our size. I won't go through all the points on the slide. Suffice to say, the costs are material. There would be significant execution risk over a three to five-year period, when clients, employees and shareholders, would all be distracted and impacted. And there are obvious day one risks around capital, distribution and client exits. Another point that comes up with investors in this discussion is our geopolitical positioning. As a global bank, we engage and maintain strong relationships with governments and regulators around the world. Our international role, our importance to global trade and our homes in London and Hong Kong underpin our relationships in both hemispheres. And our customers have trusted us for the 157 years to help them to navigate the world as it has changed. I am putting the factors that we consider when assessing alternative strategies in the public domain so all our shareholders can understand the value of our international structure and our strategy. So in summary, we've explained today how our strategy will generate significant value for our shareholders. We remain focused on our strengths, of which international connectivity is at the start. Our UK and Hong Kong franchises are performing very well, and we are shifting capital to areas with the strongest returns. We're managing costs tightly, and we expect at least $37 billion of net interest income next year as rates normalize. We are simplifying and digitizing the bank. We are engaging and will continue to engage with all our shareholders. We share the desire for improved returns and understand the importance of dividends to them. We think the best and safest way to improve returns is to focus on our strategy, which we are confident we'll deliver a return on tangible equity of at least 12% from 2023 and materially increased distribution. With that, can we please open up for questions?
Operator: [Operator Instructions] At this point, I'll hand the call over to Mr. Richard O'Connor, who will host the Q&A. Over to you, sir.
Richard O'Connor: Thank you, operator. We'll take most questions from the audio lines today. We have a few analysts and investors in Hong Kong. We’re off to four or five from the lines, I see even raise their hands, and we've got a microphone to come around and hopefully get some questions from Hong Kong. Can I just ask everybody to limit themselves normal to two questions? But with that, operator, we'll go straight to the first question, please.
Operator: Our first question is from Raul Sinha from JPMorgan.
Raul Sinha: This is Raul Sinha, JPMorgan. I’ve got two, one on capital and one on strategy, please. On capital, when we look at the second half of the year, we’ve got -- it looks like a step up in [2Q] and obviously, the French [being global loss]. And historically I think we've seen -- based on your [loss delivery guidance], it looks like second half might be less capital dilutive than what we normally expect. So I'm just wondering if you can talk about the moving parts or the actions you could take, just flagging to get the capital ratio by about [12%, 14%], perhaps a little bit more color there. And then related to that, when do you think you might be in a position to buy back stock again from a timing perspective?  And then the second one on strategy, just going back to platform. Thanks very much for the analysis there. I guess the main interesting point here is the ongoing run-in cost of two separate groups for different structure options. I was wondering if you might be able to shed a little bit more color in terms of like what is the magnitude of additional cost that you see if you were to sort of pursue structural terms, and just to give us some sense of the materiality of these costs because some of these things can have quite significant cost structures?
Richard O'Connor : I'll ask Ewen to take both of those questions, deal with capital first. And then your questions around cost of executing alternative strategies.
Ewen Stevenson : Yes, Raul, the line wasn't perfectly clear. So I'll do my best. On capital, I think the first part of it was sort of understanding the moving parts on the rebuild of capital. Yes, from first half, 13.6, obviously, we've given you the M&A impacts that we expect in Q3. In addition to that, we are taking probably about 20 basis points to 30 basis points of incremental capital actions that we previously haven't talked about with the market, which you should expect to come through in the second half of this year. We also remember that under Bank of England DRA rules, we have to accrue dividends at the top end of our 40% to 55% payout ratio. So in the first half, effectively the core Tier 1 ratio is understated because of that accrual and there's a catch-up that you'll see in Q4. So we do think that we'll trough next quarter a bit below where we are. We'll be back close to 14%. By full year, we'll be back within range 14% to 14.5% during the first half of next year. And then your question on buybacks then links into that, which is you should not expect us to be doing buybacks until we're back within our core Tier 1 range of 14% to 14.5%, which, yes, you can imply from that will be more back-end loaded next year as a result.
Noel Quinn : And just before I get to the detail or go to the specific one you asked, just on the alternative structure options, I think what you've got to take into account is a combination of impacts. There is a negative impact on the revenue synergies that we've identified in paper. There's a negative impact on some of the funding and capital synergies that exist in the group as well diversified. There's a negative impact on the cost of executing, which are one-off costs. And then there are some ongoing cost impacts in terms of the funding costs of a less diversified group split into two would be higher than the funding cost of a diversified group. And then there's some ongoing running costs that you incur.  I think the totality of that, then you've got to look at not only one item. And there are many judgment calls to make in that equation. But the way you balance those judgment calls, we believe that the safety and fastest route to generate increased dividends and increased returns is the strategy that we're pursuing. We've given you guidance -- sorry, schedules in the pack and in the appendix to help you understand some of the factors that need to be considered. But I think that -- so I don't think there's any one cost item that I think is more relevant than the other bridge the package. And then you got high execution risk because something of that complex nature can take three to five years with uncertain outcome for regulatory approval and for investor approval.
Ewen Stevenson: Yes, I mean just a bit more color around some of the numbers, Raul. I mean, as Noel said, if you just look at the sort of one-off costs associated with setting up a structure, if you were to have a separately listed Asian subsidiary, you would have to be able to demonstrate that you had standalone IT systems, which would probably take three to five years to construct, would run into the probably billions of dollars to be able to do that. You have a $40 billion MREL stack currently sitting in our Asian subsidiary, all of which is downstream from the parent. Again, they would be a three to five-year issuance program required to reissue all of that MREL out to the public markets and effectively do a liability management exercise on that excess MREL sitting at the group. And then you would have other -- you would have potential tax impacts because of triggering capital gain steps, implications as you did the restructuring and other one-off costs associated with effectively recreating a standalone business here, here being Hong Kong where I am today. And then you go into the ongoing dis-synergies. For example, in the slides, we've showed that of the $20 billion of wholesale revenues, 45% of them relate to international customers. So you can run your own maths on what portion of that $9 billion would be at risk, but it wouldn't be immaterial. You would have to effectively duplicate corporate functions and IT run costs that we get global synergies on today. You would lose group purchasing power benefits that we get today. We think you would have to operate our Asian business at a higher core Tier 1 ratio as a standalone business because it doesn't -- it wouldn't benefit from the group support that it gets today that the HKMA does take into account. There's about $100 billion of AT1, Tier 1, Tier 2 capital sitting in the rest of the group. We think if you were to break out the Asian subsidiary, there's a significant risk that the rest of the group would derate from a ratings perspective, one-notch downgrade on that $100 billion we think is a 25 basis point to 50 basis point impact per annum. And our UK business holding company today has a number of tax benefits. The UK has far better withholding tax arrangements with the rest of the world compared to Hong Kong. And we also get a tax shield on our UK headquarter costs in the UK. And then you go into the complexity of execution. All of the timelines point to three to five years. In that three to five years, we would have to prioritize IT change in respect of the separation rather than IT change in respect of the core business. We need reg approval in about 25 jurisdictions. There would be questions around indexation. We're currently fully indexed in both markets. U.S. dollar clearing, we don't think would be available to the Asian subsidiary, and we don't think that we would readily be able to get a dollar clearing license for the Asian subsidiary as we've seen with others. So as Noel says, I think when you package all of that up in terms of cost to implement, complexity to implement and ongoing dis-synergies, we just really struggle to come up with any form of value case that we put in front of shareholders.
Richard O'Connor : Okay. Next question, please.
Operator: Our next question is from Manus Costello from Autonomous.
Manus Costello: Thank you very much for the long list of [negatives] with regard to the breakup costs. I wondered if [in experiences] could really be considerations in the public domain, you could discuss what on the other side of the ledger could be upside potentially of a breakup. Do you think it's possible that you could see faster growth in separate entities? Do you think that there could be a better valuation attached to them? Can you just explain your considerations on both sides of the…?
Noel Quinn : Manus, thank you. I mean I think we're already seeing strong growth from the execution of the current strategy. We're already very focused on the growth opportunities in Asia. You can see that in Hong Kong. Our Commercial Banking business has had very strong growth here in Hong Kong. And globally, trade business is up 20% of revenue. So I think, to be honest, Manus, we've already factored in strong growth opportunities in Asia, and we're deploying more and more capital into Asia. So I think it's -- for us, we've already got that growth scenario factored into the current plan. And then your second point was...
Manus Costello : Valuation.
Ewen Stevenson : Yes. Let me just -- to complete. Yes, can you imagine a different business plan for Asia? Yes, you could, Manus. But you would have to work through all of the capital funding, liquidity implications and risk appetite implications of that. There's been some suggestions that we could accelerate growth in some areas, but that would come with a change of risk appetite and therefore, change capital, funding and liquidity implications that we've started to work through. But again, we don't -- we think the overall net dis-synergies outweigh any of those positive synergies. Yes, you could speculate that there could be a rerating of the Asian business if it was separated out. Equally, we think there would be a derating of the rest of the world. So when we look for those two together, we haven't been able to convince ourselves that there's some kind of magic structural alternatives that delivers a rerating for the overall group.
Richard O'Connor: Next question please.
Operator: Our next question is from Omar Keenan from Credit Suisse.
Omar Keenan : Congratulations on a good set of numbers. That's good to see jaws coming through so strongly. I've got two questions, please. So my first question is on the analysis of the strategic options. And I wanted to ask you, is there anything that you've decided to do that is incremental to the strategy because of the process that you've gone through in the past couple of months? And what I can see is that cost efficiencies have moved to the upper end of the range, and you're talking about 20 basis points to 30 basis points of additional capital actions. So I was hoping you could add a little bit more color specifically on those two points and then you can give [color] on how your thinking has evolved? And my second question is on deposit beta. So one of your peers said last week that they were starting to see some migration from current and savings accounts to time deposits. I was hoping you could give us some updates on how you're thinking about the competitive environment and deposits as we look forward?
Noel Quinn : On your first one, I'll just answer that, and I'll pass to Ewen to the second point. I mean we're very determined to improve the performance of the business, and we take all feedback that says the business hasn't performed well over the past 10 years. We take that at heart and have done and are very committed to trying to drive our capital efficiency into the business. So we constantly look at parts of the portfolio. There are strategically less important and are underperforming. And we're determined to continue to drive our efficiency into the capital allocation of the business. On the specific point of the additional capital management actions we've taken, I think investing in response to the CET1 impact of the mark-to-market on the treasury book. That's in addition to mitigate the downturn in the CET1 as a consequence of that. But we're confident that the capital build coming from higher profitability will start to reboot CET1 towards the end of this year and into next year. But those capital management actions are not in response to structural considerations. They're more in response to near-term capital management activities. Those actions are tactically important and right things to do, but they're not strategically damaging to the franchise of the bank. We're not having to turn off good strategic growth. We're able to take those actions whilst pursuing our strategy. Ewen?
Ewen Stevenson : And what you can see in the results today is an attempt by us to be clearer on what the strategy is. So giving you more disclosure around the international connectivity of the business. Clarifying what we thought was a significant gap to our internal views on dividend potential for '23 and beyond versus where consensus was. So what we try to do is, if you want, verify the strategy a lot clearer that we're pursuing. Look, on deposit features, we are seeing currently very little migration to time deposits so far. Remember that actually, a significant part of our book is actually not time deposits. I think if you look at previous cycles, you would expect migration to occur as interest rates continue to rise. So yes, as we've said previously, the modeling that we've done and the interest rate sensitivity is based on a 50% pass-through rate. We're well belated at the moment. We do think that will rise from here, and part of the reason it will rise is because of migration.
Richard O'Connor : We'll take one more question from the line. I'm just checking with Hong Kong, see if there's any live questions. Next question, please.
Operator: Our next question is from Aman Rakkar from Barclays.
Aman Rakkar : Two questions., if I may. Firstly, on your net interest income guidance. So thank you so much for giving us the greater than $37 billion. And I note the rate assumptions that you're making behind that. I think you laid out on Slide 18, i.e., in line with market implied policy rates. I guess there's a pretty healthy debate amongst investors when I speak to them as whether we actually get to those level of interest rates. And they need to get cut again, maybe if growth was to weaken. So I was interested in your thoughts around to what extent if the full rate given as per the forward curve at the moment, what risk would that pose to your ROTE ambitions? Do you have levers that you can pull? Is that $37 billion NII guide at risk, say, if you didn't quite get to a circa 3% base rate, for example? And the second question is just around capital. Not the actions that you're taking to lift the CET1 ratio back towards target range, but that actual target level. How are you thinking about that? I mean when I compare that to your MDA, there's a pretty handsome gap of around 300 basis points towards your target level. That feels quite large. Is there anything that you can do or you're hoping for from the regulators to try and get that target level down?
Noel Quinn : I'll ask Ewen to answer both of those questions.
Ewen Stevenson : Yes. On the NII guidance, a couple of things. A, you should assume that, yes, we've got a bit of fat in there when we're guiding to at least $37 billion. Secondly, I think, remember, as interest rates rise, continue to rise, the positives will continue to rise. So if you don't get that final add on interest rates at the back end, then we're already modeling very high deposit leaders at that time. So the implicit impact on the net interest income is a lot lower than what you may think. We've run various scenarios and are comfortable based on a range of scenarios that we'll be able to deliver $37 billion. But obviously, there's very material change in rates, what we'll reassess that. And we've given you the interest rate sensitivities so you can run your own numbers. On capital, yes, look, I think there is a debate at the back end of '23 and 2024 whether we can adjust our core Tier 1 ratio. If you think about where we've been in the past, we've been making a very big investment internally into our stress testing capabilities and to our recovery and resolution capabilities, which you don't see from the outside. We also didn't have the returns in the past, the combination of the returns that we had and a very high payout ratio that we had in the past, we just didn't have the same capital flexibility that we expect to have from 2023 onwards. So I think it's important before we engage the regulators in that discussion that we get back within the range. But I think once we're back in the range, there should be some model stability to adjust down where we're targeting on core Tier 1. But I would say that's back end of '23, '24 for discussion.
Richard O'Connor : We have one question from Hong Kong. If you wouldn’t mind, give your name and institution, please. 
Gurpreet Singh Sahi: This is Gurpreet with Goldman. Congratulations on a good set of numbers. I have two quick questions, please. First is on the prime rate in Hong Kong, and then the mortgage cap that should effectively be hitting all the mortgage borrowers starting next month, if I'm not mistaken. What could be the efforts to narrow that time minus and hence, to lift the effective gap for the mortgage borrowers? And how much of that can we do before we see kind of deposit migration as you have talked about? And then we run into that question of raising the prime interest rate. And then once they are raised, will it be symmetrical with the savings deposit rate? Or does it asymmetrical? That's the first question. Sorry for being a lengthy one to understand. And then secondly, sample on the credit cost. As of now, I see China CRE still contributing nearly 30% of the total provisions. At some point during this year, early next year, it's going to roll off. I mean, China is going to -- is -- we aren't going to book CRE losses till eternity, right? And so I still see the guidance on the second half of 40 basis points versus first half '20. So how much of the typical hallmark HSBC conservatism goes into that?
Noel Quinn : I'll take that as a complement. Traditional HSBC conservative, I think that's something good to be accused of. Let me deal with the China CRE, and then I'll ask Ewen to deal with the prime rate and the mortgage gap. Listen -- we've -- the ECL charge in the first six months is a positive outcome. And -- but the economy is still uncertain. So I think it would be unwise of us at the half year stage to start factoring in the first half performance as a trend for the full year. And therefore, it is appropriate to guide to a higher second half charge given the level of uncertainty. And I think we'll update the Q3. And clearly, we'll know the answer of Q4. But it would be unwise to think that the first half trend is something that can roll forward into the second half.  Our expectation at the moment is that forward economic guidance will probably continue to worsen, and therefore, there's more likely to be Stage 1 and Stage 2 provisions in the second half of the year rather than necessarily just having a line of sight to Stage 3. So if that build of ECL in the second half, I think it's going to be more on Stage 1 and Stage 2 as economic forecasts continue to deteriorate and forward economic guidance is factored in. So that would be the view on the ECL. But happy to be conservative at this stage. Ewen, do you want to cover prime rate?
Ewen Stevenson : Sure, you don't want to cover that? No?
Noel Quinn : No. I don’t. 
Ewen Stevenson : I mean just to add on ECLs, we haven't said they're going to be 40 in the second half. We said that they're trending towards a yearly average of 30. So that would be the highest that we would expect them to be in the second half. On the prime rate, not for everyone in the room here in Hong Kong, who understands this, but everyone is not in Hong Kong. And yes, the mortgage market here is typically priced off a one month HIBOR plus spread. The borrowers also have an option to shift from that rate to what's called the net lending rate minus the margin. Today, those two rates are broadly in line with each other, maybe even, I would say, most of our more book is focused tipping into the latter, i.e., the best lending rate minus the margin provides a lower rate to customers than one month HIBOR types of spread we're charging them. The -- and that rate is set daily and calculated daily, and the customer doesn't need to do anything. It just happens automatically that they switch from one route to the other. Today, about 12% of our portfolio is subject to the mortgage cap, but I would say that given movements in the last month or so, that's likely to trend materially higher to most of the portfolio over the next couple of months. Look, I'm clearly not going to sit here and give guidance on what we're going to do with the base lending rate. Historically going back, I think, for 20 years, the best lending rate has moved in line with the best savings rate. So we have seen slightly lower margins in the past, discounts being applied to the base lending rate. That's obviously one tool we have. If we were to change the best lending rate and the best savings rate followed in tandem, that would be economically worse for us, given that we have a larger deposit surplus and we'd see a bigger hit on higher savings rates and the benefit we get from raising the leading rate. But clearly, this is always subject to competition and we're not going to discuss it on a public call.
Richard O'Connor : I'll come back to Hong Kong towards the end. So we'll go back to the lines. Next question, operator, please?
Operator: Our next question is from Andrew Coombs from Citi.
Andrew Coombs : Two questions, please. The first is just to clarify the $31 billion and the $37 billion net interest income guidance that you gave. Can you just provide a bit more detail on what you are assuming on the quality of leases because I know your illustration is on 50% versus in your commentary, you talked about the deposit piece are rising as you go through the rate hike cycle. So if you could just clarify what deposit beta is assumed to get to that $31 billion and $37 billion? And my second question is just a disconnect between average interest earning assets and loan growth. If you look at the quarter on constant currency basis, loans are up 1, average in standing assets were down 1. So what's driven the disconnect? And given your guidance for next year, the mid-single-digit loan growth, do you think they'll -- the average interest earning assets will reconnect with the loan growth next year?
Noel Quinn : Yes. On the second one, Andy, is just average interest earning assets are not FX adjusted. So if you talk to our research team afterwards, they will be able to give you a sort of FX adjusted average interest assets.
Ewen Stevenson : Also, some low liquidity balances in the quarter as well.
Noel Quinn : On NII guidance, I hate giving NII guidance. I thought I did well today to give it. But we're not going to go and get go on and give the deposit feature assumptions as part of that. But we said through the cycle, we expect it to be 30 basis points. We've said that deposit betas so far, I think, being in the 20s. So you should assume that there's a material ramp-up in deposit betas as rates go higher from here.
Andrew Coombs : Okay. And then on next year, you should think the average interest bearing assets should be more aligned with loan growth? 
Noel Quinn : Yes.
Richard O'Connor: Thanks, Andy. Next question operator please.
Operator: Our next question is from Martin Leitgeb from Goldman Sachs.
Martin Leitgeb : First of all, if I could comment on the [indiscernible] today. I was just wondering on -- first question on structural hedging. And I was just wondering if your plan has changed towards deployment of some structural hedging or maturity transformation, or how you want to call it in geographies outside of, let's say, in order to maybe transform some of the deposits, building the kind of more maturities and to stabilize going forward. Can you just update us on where you are on the structural hedging and exploit that capacity even more? And secondly, you called out the better performance of UK. I was just wondering if you could provide a little bit more color on what is providing that strength.
Noel Quinn : Thank Yes. And structural hedging, Martin, I mean, look, first, especially the nature of our book with here in Hong Kong where it's different -- difficult to extend. It's not impossible to extend duration given the nature of the deposit base and the asset base there. We can't buy longevity in Hong Kong dollars. And secondly, on the asset side, the trade book is very short-dated, too. So yes, we do typically have more interest rate sensitivity than most of our peers. Having said that, we -- relative to what we could do, we are structurally underhedged. We have, for example, started to as some of the hold-to-collect-and-sale portfolio is beginning to mature. We've materially increased the hold-to-collect portfolio during the quarter, and you should expect that to continue. So I think we will slowly increase the level of structural hedging overall in the bank over time to reduce some of the interest rate sensitivity. But given the nature of the balance sheet, I think you should assume that we will continue to have higher interest rate sensitivity than is even after we've done that. On the outperformance of the UK business, which I think is the second question. Look, I mean, just, again, Stuart and team are doing a really, really good job at the moment. They are taking very assertive actions against their cost structure. I think costs were down 8% Q2 on Q2. We've always told you that we're structurally underweight in some segments like mortgages. We had 7% mortgage growth year-on-year in Q2. The commercial business is going well at the moment in the UK. Post-Brexit, we are the only bank in the UK of any size that can really deliver an international network to customers. And as customers change the nature of their international businesses, we're ideally placed to service that. So -- and obviously, credit conditions in the UK, at least for us, continue to remain relatively high. Just another statistic on the UK. Year-to-date, the UK business has helped more than 1,000 overseas customers purchase or refinance properties in the UK in the first six months of this year. And then on the other side of the equation, I'm really pleased to say that the UK business has offered great support. They felt more than 5,000 Ukrainian settlers to the UK open bank account with us. So I think what you're looking at is a broad base of activity in the digital world, The UK has now on-boarded 40,000 clients to HSBC Kinetic, which is a fully mobile digital proposition for SMEs, full range of product suite there, not just Canton cards, lending, overdraft savings accounts. And they've on-boarded 85% of those customers have been onboarded within 48 hours, and the customer satisfaction is currently sitting at 92%. So I think you've got a broad base of actions that Ian and the team have taken in the UK. Cost, revenue generation, product enhancements, digitization, the international clients and the domestic clients, and I think there's a lot of good work being done there and it's starting to pay dividends.
Richard O'Connor : Another question from the audio line, please?
Operator: Our next question is from Guy Stebbings from BNP.
Guy Stebbings : The first one is jsu8t on capital actions. And if you could elaborate on what you're doing -- and I think it was the 20 basis points, 30 basis points of transaction in the second half on those, so really revenue hits them or hasn’t? And sort of what informs taking those actions now is making possible to just build the capital naturally and get back to target a little bit more slightly, especially given the capital hit in part rate driven, which is picking up beneficial in time ultimately net positive. Just on the desire to get the range quickly a buyback next year, attrition given the uncertain environment or anything else? And the second question was on rates. I just wonder given where the market implied part is now, were that to shift any further up, would you still see that as net beneficial to the bottom line given capital prime, given deposit mix, given [indiscernible] for impairments growth, et cetera. So I just wondered how much incrementally beneficial you would still see rate rises to stay even further than the market implied cost?
Noel Quinn : Yes. Look, on capital actions that mainly benefit RWAs. They -- it will have some, but modest impact on the P&L. But we do think, when we think about the balance of considerations of heading into probably tougher economic conditions in 2023, the right thing for us to do is to accelerate our capital ratios being backed within Target. So we're happy to accept some impact on income in order to achieve that. But we do think that the return on our losses that we're running on incremental actions make sense, and we're not doing anything that goes into what I described as franchise impairment bearing actions. On NII, I think it is market dependent. So here in Hong Kong, there's probably very little benefit that we would derive from interest rates going higher than what's implied in forward curves at the moment. But I think in other markets, definitely, there would be value. And I still think that we're structurally geared to, if you think about the last couple of years in 2021 net interest income was slightly under $27 billion. So over two years, we're generating an extra $10 billion of net interest income, which more than offsets any incremental ECL costs. We could see your higher costs because of inflationary issues. So I still think, yes, there's some ways to run even based on forward curves before you start seeing impairments materially tick up. I think the other thing that's important to remember for us probably applies to other banks. But our customer base on the retail side is mainly affluent. They've had their savings rates go up materially during COVID. So they're all sitting quite liquid with good cash reserves at the moment. You've also -- we've seen credit card spending pick up because people are still mainly rolling their credit card balances. So we don't have any particular credit -- difficult credit exposure on the retail side that I would call out with the customers sitting with good cash balances. And now on the mainstream corporate side, the global corporate sector has effectively been deleveraging for 2.5 years. In most parts of the world, corporate loan growth has been well below the nominal GDP growth. So again, corporate balance sheets are unusually healthy for what would be at this point in a cycle facing a downturn. Yes. So for all those reasons, I think if interest rates went higher, other than Hong Kong, I think we would sort of view that as a positive for us.
Richard O'Connor: Just checking any questions on Hong Kong. It appears to be none. So I think we have time for one more question from the audio lines, and then we'll hand back to Noel to sum up. So last question from the audio lines, please.
Operator: Our last question is from Tom Rayner from Numis.
Thomas Rayner : It seems you're feeling so charitable and you're giving specific guidance on net interest income cost of returns. I could possibly back out what you're thinking on noninterest income. But I just wondered if you could give us any color on what you're thinking in terms of the main drivers, COVID restrictions, trade, what's going on in capital markets, Chinese GDP, all those things that seems to be the early missing piece of the P&L, we don't have that.
Noel Quinn : Tom, I mean you know how much Ewen like giving guidance on NII. Now you're asking him to give guidance on NFI as well. It’s…
Ewen Stevenson : Tom if my chief accountant was here he would be running dangerously close to giving a profit forego. But to say is when you ran your calculations for '23, do you think about all of the one-offs that we've had this year, including the negative insurance [MTU] that won't repeat or shouldn't repeat next year. So I'm not going to give you an NII forecast.
Thomas Rayner : Okay. And then how about just color on the trend. I mean, COVID is a big issue for Wealth and other stuff. I mean any thoughts on just more broadly?
Noel Quinn : What we've all got to factor into our future thinking is take here in Hong Kong, there should be, at some point, a rebound in wealth management activity that will drive higher fee income. There should be at some stage a rebound in capital market activity that should drive higher fees to GB&M, but it's too early at the moment to predict exactly how much of that will come back and when it will come back. But you could argue, if you look at the P&L of the retail bank and the WTB the first 6 months, they've got revenue growth. And what you found is that the retail banking has driven strong growth from NII, but has been subdued on its fee income. And then if you can start to get the fee income coming back as economies reboot and wealth management activity reestablishes itself, then you should start to see a growth in noninterest income, but it's too early to predict what that will be and we're not going to give guidance on it.
Noel Quinn: Thank you. Well, thank you very much for all of your questions and for giving us your time. To close with a few comments, we are confident of significantly improved value for our shareholders. Our repositioning of the business is gaining traction. Our international connectivity remains our greatest strength. We have got costs under control and interest rates are normalizing. All of this means we are on track for our best financial performance in a decade, 12% returns plus in 2023 and higher dividends for our shareholders. Richard and the team are available to you if you have any further questions. But in the meantime, have a good afternoon or morning, and thank you very much for joining.
Richard O'Connor : Thank you.